Operator: Welcome to the Ondas Holdings Inc. Fourth Quarter and Full Year 2021 Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions [Operator Instructions].  Before we begin, the company would like to remind you that this call may contain forward-looking statements. While these forward-looking statements reflect Ondas' best current judgment, they are subject to risks and uncertainties that could cause actual results to differ materially from those implied by these forward-looking statements. These risk factors are discussed Ondas' periodic SEC filings and in the earnings press release issued today, which are both available on the company's website. Ondas undertakes no obligation to revise or update any forward-looking statements to reflect future events or circumstances, except as required by law. Please also note, this event is being recorded. I would now like to turn the conference over to Eric Brock, Chairman and CEO. Please go ahead, sir.
Eric Brock: Well, good morning, and it's a pleasure to welcome you to our conference call. I'm pleased to be joined today by our President and CFO, Derek Reisfield; Stewart Kantor, the President of Ondas Networks; and American Robotics CEO, Reese Mozer. Today, we plan to review last year's financial performance and strategic accomplishments and discuss our outlook for 2022. Similar to our last call, I want to set the stage by starting with an overview of Ondas Holdings in order to provide some important context on our market opportunity and business strategy before we outline our plan to deliver on the growth opportunities ahead. Ondas Holdings has 2 complementary lines of business, Ondas Networks and American Robotics. Both companies provide platform technologies for high-value industrial markets. These are full end-to-end integrated mission-critical IoT data solutions. Networks provides mission-critical private wireless networks, offering unmatched data capacity and operating flexibility for industrial and government markets. American Robotics offers the Scout System, the first and only fully autonomous grown platform approved by the FAA to fly beyond visual line of site without human operation on site. We do this in industrial, agriculture and government settings. Ondas Networks processes and transfers, mission-critical industrial data via its software-based FullMAX connectivity platform and American Robotics via the Scout System provides automated data collection and edge processing. We believe both companies have attractive, high-margin, capital in high return on investment business models. We offer these platform technologies under the Ondas Holdings umbrella, providing us with a unique opportunity to build the ecosystem around our technology platforms. We believe this allows Ondas Networks and American Robotics to invest in and develop even more valuable fuller stack solutions for our customers via partnerships like we have with Siemens, or be it investment as we have done with artificial intelligence and machine learning specialists, Dynam.AI or the strategic acquisitions like the definitive agreement we announced yesterday to acquire Ardenna, a leading rail track inspection analytics provider. We believe our technology platform and business platform strategy is poised to deliver incredible value to our customers. We have argued, I think successfully that we are at the foothills of an industrial technology investment cycle driven by next duration data solutions. We call this mission-critical IoT. Data collection, wireless broadband communications and data analytics are at the core of these MC-IoT solutions and customers need companies like Ondas Holdings to bring these complex technologies together into complete integrated end-to-end data solutions. We believe there are outsized rewards available for companies and their investors who are able to define the full stack solutions for these high ROI next-generation data services. We also believe that Ondas has a business strategy and the talent and experience to bring this value to customers for the benefit of our shareholders. I want to share a few words on yesterday's announcement of our definitive agreement to acquire the Ardenna assets from industrial technology developer, Birhle Applied Research. The Ardenna deal is a perfect example of how Ondas and AR can bring substantial value to customers and unlock bottlenecks, holding back growth in industrial MC-IoT data markets. We believe Ardenna is widely regarded as 1 of the most sophisticated providers of drone driven rail inspection analytics across the global rail industry. They are pioneers in the business and began developing these systems back in 2014 when they partnered with BNSF Railway as part of the FAA sponsored Pathfinder UAS program. While Ardenna's analytics software and services are extremely valuable, market growth has been held back by a data collection bottleneck. If you're in the business of offering data analytics services, you need data to analyze. And as we know, collecting the data has been the conundrum for industrial markets. Of course, we believe the data collection problem is 1 that American Robotics and our Scout System can solve. Similar to other industrial sectors, the railroads need to scale their data collection abilities. They need automation and BVLOS drone operating capability to reduce the cost and complexity of data collection related to human pilots and FAA regulation. This transaction solves the problem for rail customers by combining the leading automated industrial data collection platform in our Scout System with Ardenna's world-class analytics capabilities. This is a powerful solution for our rail customers and accelerates Ondas' ability to penetrate the rail sector, providing end-to-end data services. We expect the deal to close in the second quarter. I want to highlight that the bulk of consideration for Ardenna will be Ondas shares of common stock, suggesting that Birhle Ardenna's owners find this transaction to be value creating. We believe this deal is a home run for our rail customers and Ondas shareholders. With that introduction, let's shift towards outlining the agenda for today's call. First, I will highlight the progress we are making on key business priorities at Networks & American Robotics, then I will ask Derek to share our Q4 and full year 2021 financial results then Stewart and I will provide an update on Ondas Networks business development progress and growth plan, of course, focusing on our progress with the railroads in Siemens. Reese will then provide a similar update for American Robotics as we execute the go-to-market strategy for the Scout System. And I will then summarize the outlook before we open the floor for Q&A. Let's now bring you up to speed on how we are executing on our key priorities. As you will learn on this call, we are on a role executing the growth plans with both Ondas Networks and American Robotics. In 2021, we saw our substantial investments in technology platforms and business development pay off at both Networks and AR. At Networks, after working with the Class I rails for several years, we received our initial launch order for the 900 megahertz platform in December. This marked the transition for Ondas from investment in technology and business development to platform delivery as FullMAX, our patented 802.6 wireless technology begins to be adopted across the Class 1 rail networks. In addition to that initial order, we're announcing today that we received a second commercial launch order in January from a second Class I rail. We also highlight that a third Class 1 railroad has begun work in the field in preparation for a significant launch order, which we expect to receive in the second quarter. The early ordering activity from Siemens on behalf of the Class I rail signals the platform adoption of our FullMAX technology, the establishment of a federated MC-IoT Rail Lab is further -- so further evidence that our FullMAX technology is positioned at the core of railroad mission-critical network. As Stewart will share later, the Rail Lab is a critical development, which we believe is cementing Ondas' dot16 as the railroad connectivity platform of the future across multiple mission-critical networks. In parallel with the increase in order activity and deeper engagement in our platform by the Class 1s, our relationship with Siemens continues to flourish and expand. We successfully completed the initial joint development of the next-generation advanced train control system or ATCS platform for Siemens in the fall of 2021. Recall that program called for the development of a base station, we refer to that as the BCP in an edge remote at the system, at the wayside referred to as the WCP. Siemens next-generation APCS comes embedded with Ondas FullMAX software and edge computing capabilities inside. As Siemens has introduced ATCS in the market, it's now receiving orders, which Ondas is delivering against. In addition to selling next-generation ATCS systems, Siemens also formally launched marketing programs for Ondas FullMAX catalog products under the brand name Airlink. We also expanded with Siemens via the launch of additional product development programs, including the next-generation Head of Train or HOT program in the 450 megahertz network for the Class I. Again, an additional network, the 450 megahertz is an additional -- in addition to the 900 megahertz network. That on locomotive HOT program was expanded to include development for a version of HOT tailored towards the requirements of a large Siemens customer in Asia. We will provide more details on the Siemens product development road map on this call. On the marketing side, Siemens has identified additional customer opportunities beyond our initial focus on the Class I rails in North America. This increases our addressable market. Those opportunities include transit markets in the U.S., where investment is expected to grow substantially with rail transportation infrastructure being a significant beneficiary of the recently announced federal infrastructure investment and JOBS Act legislated by Congress. The takeaway here is that Ondas is executing for Siemens and Siemens is executing for Ondas exactly the way we envisioned when we entered the partnership in May of 2020. Lastly, our work with AURA was successfully advanced last year as we completed the development work connected to the command and control or C2 aviation network targeted towards the navigation of uncrewed aircraft systems, or UAS. From here, AURA is working with regulatory authorities and aviation customers to determine the next steps for development as they work towards designing an FAA-approved C2 wireless network. In the meantime, we will continue to support AURA and their customers as needed with service and equipment related to the demonstration network that was deployed using Ondas FullMAX technology and for which we secured FCC certification for our Mercury edge remotes. Let's transition to American Robotics. It's been quite a year for AR, 2021 kicked off with the receipt of a best-in-class FAA approval for operating the Scout System BVLOS with no on-ground human intervention. Our acquisition of AR closed in August, and we have been entirely focused on building the infrastructure and team to service large blue-chip customers who we call franchise customers. Reese will be sharing details on the progress to date. What I want to highlight is the level of talent we are attracting to help scale the business at AR. American Robotics recruiting efforts have been very successful, which is further evidence that our team, the market opportunity and, of course, our market-leading Scout platform is special. In addition to scaling the team, we have substantially increased production capability and begun to accelerate Scout deliveries. Customer activity is expanded beginning with installations for stockpile reports ConocoPhillips and now Chevron, which had its initial installation a few weeks ago. Demand for Scout Systems remains high, and we have the enviable position of being able to work with select customers to design drone driven, automated data solutions that are scalable as fleets of drones. We could sell Scout Systems in many, many locations today at a faster pace. We believe the demand is there. However, the better strategy is to work hand-in-hand with franchise customers to design these scalable data solutions, which will allow for fleet deployments at Scout's in the hundreds or even thousands of installations. On the customer side, we are focusing on high-value markets, including oil and gas, mining and now rail, which, of course, is Ondas' own turf. These markets are all large in size and offer multiple use cases from the Scout System. These markets also received tremendous value from the drone driven automated data solutions we provide. You have seen us make bold moves to partner and invest to extend our moat and accelerate business development in our key markets, again, oil and gas, mining and rail. The relationships with stockpile reports, Dynam.AI and now Ardenna are great examples of us advancing our strategy in driving more comprehensive customer solutions. In short, we have accomplished a lot in 2021 and early this year, and we've successfully set up Ondas for growth in 2022 and beyond. I will now hand the call to Derek. He will share information regarding our financial performance with you.
Derek Reisfield: Great. Thank you, Eric. As I share our financial results today for the fourth quarter and for the full year 2021, please note that we include our financial statements in the press release and Form 10-K filings this morning. The numbers we are reporting include financial results for American Robotics beginning in August 6, 2021. Moving to our fourth quarter results. Revenue increased by 194% to approximately $0.6 million for the 3 months ended December 31, as compared to approximately $200,000 for the 3 months ended December 31, 2020. The increase in revenue was primarily a result of higher development revenue in the 3 months ended December 31, 2021, as compared to the 3 months ended December 31, 2020, as we achieve milestones in our development contract with Siemens. Gross profit increased by 264% to approximately $166,000 for the 3 months ended December 31, 2021, as compared to approximately $46,000 for the 3 months ended December 31, 2020, as a result of higher revenue. Gross profit on a percentage basis was approximately 29% for the 3 months ended December 31, 2021, compared to 23% for the 3 months ended December 31, 2020. Operating expenses increased by $3.5 million for the 3 months ended December 31, 2021, as compared to the 3 months ended December 31, 2020. The increase in operating expenses was primarily due to the expenses associated with the American Robotics acquisition. The company realized an operating loss of approximately $7 million for the 3 months ended December 31, 2021, as compared to $3.7 million for the 3 months ended December 31, 2020. Operating loss increased primarily as a result of the increased operating expenses of approximately $3.5 million, primarily associated with the American Robotics acquisition. Please note that the operating expenses and our operating loss included noncash expenses related to the amortization of intangibles and stock-based compensation equal to $2.1 million for the 3 months ended December 31, 2021, as compared to $1.7 million for the 3 months ended December 31, 2020. Net loss was relatively flat at $4.1 million for the 3 months ended December 31, 2021, as compared to the 3 months ended December 31, 2020. The net loss was favorably impacted by the release of $2.9 million of valuation allowance against the company's deferred tax assets. Moving on to the next slide, I'll now transition to Ondas' full year financial results for 2021. Revenues increased by over 34% to approximately $2.9 million for the year ended December 31, 2021, compared to approximately $2.2 million for the year ended December 31, 2020. The increase in revenue was primarily due to larger amounts of development revenue from Siemens and AURA Networks during 2021, offset by lower amounts of product revenue. Gross profit increased by approximately 18% to $1.1 million as a result of higher revenue for the full year 2021 as compared to $927,000 for 2020. Gross profit on a percentage basis was approximately 38% for 2021 as compared to 43% for 2020. The lower gross margin was the result of a lower share of revenue coming from higher-margin product sales. Operating expenses increased approximately 53% to $19.1 million during 2021 as compared to $12.5 million during 2020. The increase in operating expenses was primarily due to an increase of approximately $1.6 million in professional fees related to the American Robotics acquisition, an increase of approximately $1.3 million in depreciation and amortization expense, due largely to the amortization of American Robotics intangible assets and an increase in research and development expenses during 2021. The company realized an operating loss of approximately $18 million for the full year 2021 as compared to an operating loss of approximately $11.5 million for 2020. Operating loss increased primarily as a result of an increase of approximately $1.9 million in professional fees due largely to the American Robotics acquisition, increase of approximately $1.5 million in depreciation and amortization expense due to the amortization of the American Robotics intangible assets largely and an increase in research development expenses for 2021. Note, noncash expenses amounted to approximately $4.8 million. This is comprised of the aforementioned depreciation and amortization charges of approximately $1.5 million as well as approximately $3.3 million in stock-based compensation. Net loss was approximately $15 million for the full year 2021 as compared to a net loss result of $13.5 million for 2020. And lastly, the company exited 2021 with a strong balance sheet. We held cash and cash equivalents of approximately $40.8 million as of December 31, 2021, as compared to approximately $26.1 million as of December 31, 2020. Now I'll turn the call back over to Eric.
Eric Brock: Well, thank you, Derek. Now Stewart, Reese and I will share a more detailed look into the 2022 outlook, starting first with Ondas Networks and then American Robotics. As we have highlighted, Ondas Networks entered 2022 with momentum we believe is well positioned to deliver growth in bookings and revenue. We expect growth to be driven by the Class 1 rails, where we now see platform adoption of our FullMAX wireless technology beginning in the greenfield 900 megahertz network. The initial launch order for ATCS, we announced in December 2021 was followed by another order in January from a second rail a purchase we announced for the first time today. We expect orders to ramp with more rail customers and in larger sizes as we move through 2022, and Stewart will provide more details regarding the rail ordering process as we move through the presentation. In addition to the beginning of the 900 megahertz rollout, we secured the federated MC-IoT lab, which we believe is yet another validator of the strong engagement from the AAR and its Class I rail members. Our success with moving the Class I rails into growth mode has been supported by a strong and broadening partnership with Siemens. We have completed the next-generation ATCS development program and Siemens is providing orders for this product. In addition, Siemens has engaged Ondas for additional development programs for new products, and we expect to see still more activity beyond what has already been announced. On the marketing side, Siemens has expanded to new markets. We are being introduced to new business opportunities with transit rails in both North America and in international markets, which we believe will lead to additional product development programs. And as we previously mentioned, we have completed the demonstration network for AURA and will continue to support the network and AURA's customers as clarity emerges on the next development phase of an FAA certifiable system. As we update the outlook for rail, I want to reframe and quantify the opportunity that we see with Class I freight operators in North America. The Class I rails performed train operations over 4 critical networks. We have them on the top left of the screen, ATCS or Advanced Train Control Systems run on the legacy 900 megahertz network. The 450 megahertz band is where we call on locomotive telemetry. That's the HOT and EOT applications, Head of Train and End of train. The critical voice, our land mobile radio push-to-talk system runs on 160 in the positive train control, or PTC system runs on 220 megahertz. All of these are legacy narrowband communications platforms. Our work, the rails leads us to believe that our FullMAX 802.16 platform can be deployed across all of these networks to provide increased data capacity and flexibility so that the rails can adopt new MC-IoT technologies to increase train velocity and improve safety. These new technologies supported by a FullMAX wireless network served to increase freight capacity for the transportation of goods, leading to higher revenue and improved profitability for our railroad customers. As we highlight, the legacy 900 megahertz network will be retired in full over the next several years as the AAR needs to return this spectrum to the FCC in its entirety by 2025. So the legacy 900 network is going away. Fortunately, the FCC has provided the AAR with a new improved spectrum position, and this is what provides Ondas and our partner Siemens with our initial greenfield opportunity to deploy our FullMAX technology. Based on Ondas' internal management calculations and estimates, we believe this is a market opportunity of at least $300 million. The deployment across the new 900 megahertz spectrum band will be a multiyear effort, and as new data-intensive technologies are introduced, the network will be densified with more dot16-enabled base stations in edge remotes. Of course, as we described, we believe our FullMAX technology will be adopted more broadly across the Class I rail networks beyond the initial 900 megahertz network in other frequency bands. In aggregate, we internally estimate a TAM of over $800 million for all 4 networks. And as we highlight, we believe new voice, sensor and other IoT applications to be developed by the rails and the vendor community will create hundreds of millions of dollars of upside to these market size estimates leading to a total potential TAM of over $1 billion. I'm going to hand the call to Stewart now so we can share more details on the MC-IoT lab, our Siemens partnership and what we have learned regarding the ordering process and likely ramp of railroad customer deployments in the 900 megahertz network.
Stewart Kantor: Thank you, Eric. On the last earnings call, we told you that Ondas and Siemens were negotiating with the Association of American Railroads for the implementation of the MC-IoT Rail Lab to be hosted at our Ondas' headquarters in Sunnyvale, California. Then in December, we announced that we had received an order for the lab. Since that time, we've been in high gear organizing and staffing the lab effort. We refer to a lab as the North American Federated Lab, and federated means in terms of there will be a series of independent networks for the Class Is that need to be interoperable. The lab exists to enable the optimization of different network configurations to ensure interoperability and coexistence all while using shared license spectrum as the Class I standardized on Ondas' 802.16 enabled technology. The initial focus of the lab will be on use cases developed for the greenfield 900 megahertz spectrum, but we expect to quickly evolve to the testing of other rail spectrum bands, including 160 megahertz, 220 megahertz and 450 megahertz. This is all great news for Ondas and Siemens as the rails converge on the 802.16 standard as the path forward for their future communications needs. Now let's move on to our evolving strategic partner with Siemens Mobility, which continues to broaden. We feel it worthwhile to highlight where we started with Siemens, how far we've come and some of our expectations for the future. The time line on the slide highlights these key milestones. As most of you recall, in May 2020, we announced our strategic partnership, which included a joint development program to integrate Siemens' ATCS technology with Ondas' MC-IoT platform for the 900 megahertz band. At the same time, we announced the branding agreement where Siemens obtained the exclusive rights to market and sell Ondas' MC-IoT products under the Siemens Airlink brand in the North American rail markets. In September of 2021, these programs were formally launched at RSSI, the major U.S. rail show. And since then, Siemens has already secured orders from 2 Class I railroads for these products in the critical 900 megahertz band. The first order was secured in Q4 and delivered by Ondas and Siemens in December. And for the new order -- and the new order was just obtained in January of this year. Now going back a bit here on the development side, in January of 2021, we told you about a new joint development program with Siemens to build our first onboard locomotive radio for the 450 megahertz band in North America. This program was initially focused on bringing a next-generation head of train locomotive application to North America. Then in October of 2021, Siemens greatly expanded the HOT program to include a version of the product for a major Asian railroad, which has now become the new priority with the expectation of deliveries beginning in Q2 of this year. We will be providing more details on this program as it evolves, both in Asia and North America. Then in December of last year, Siemens placed their order with us for the railroad -- Rail Lab, which was obtained from the AAR and is based on Ondas' 802.16 technology. We believe Siemens, like Ondas use the Rail Lab as the declining step in securing the next-generation communications networks for the North American rail. To summarize, we come a tremendous way from April 2020 to now, having completed a major joint development program in North America, secured multiple Class I orders for that product, begun a new development program for a worldwide locomotive radio program and obtained the North American Rail Lab. And right now, Ondas and Siemens are working with a third Class 1, which has already begun fieldwork in preparation for an expected significant order for 900 megahertz. That's 3 active Class Is for the 900 megahertz networks. As we go forward with Siemens, we will continue to focus on the all-important volume orders and deliveries for the 900 megahertz network while we continue to advance the new development programs for new networks and new frequency bands. As you can see, our relationship, which started with North America has now evolved to Asia with a plan for a European program in the works. The Siemens partnership has truly evolved to a global one. We continuously stressed the importance of the flexibility of the FullMAX communications platform, along with the Siemens partnership and the rail industry support for the 802.16 standard. By incorporating today's industry-specific protocols for Siemens -- from Siemens, including ATCS and HOT with the ability to support newer advanced IP-based applications, we believe we are enabling the smooth transition to the adoption of the digital railroad. This includes moving from the current state of fixed blocked operations to moving block to eventually autonomous train operations, the key to a substantially and more efficient industry. We highlight the key steps involved in the rollout of the 900 megahertz on this slide, which we believe will follow previous large-scale deployment -- rail deployments. As mentioned previously, the technology choice for 802.16 has been led by the AAR, which represents the Class I rails collectively. This centralized approach and control has been given -- has been critical given the need for both interoperability and peaceful coexistence among the rails. Furthermore, the Rail Lab is under AAR's direction and control to ensure ongoing seamless operation. Each Class I controls its own rollout plans with Ondas and Siemens providing backup support. The heavy lifting for the network installation and operation is almost entirely in the hands of each individual railroad. On this slide, you can see various components involved in the rollout plans ranging from acceptance testing to engineering, design and training all the way through to ongoing customer support and maintenance. Launch orders tend to be smaller in size followed by larger, more substantial orders 6 to 12 months later. These larger orders typically come with the precise delivery schedules that support the rails rollout plan. To reiterate, we have received 900 megahertz orders from 2 Class Is with a 1/3 having begun fieldwork in advance of significant orders. We also now have visibility into new applications. These rails plan to implement beyond ATCS. We've listed some of these applications on the slide, including interlocking and remote cross and control. In other words, we are already seeing the evolution away from the single-purpose legacy networks like ATCS to multi-use FullMAX enabled networks. Now, I'll turn the presentation back to Eric to discuss 2022 targets.
Eric Brock: All right. Thanks, Stewart. Now we transitioned to providing some specific KPIs, targets and objectives for Ondas Networks in 2022. We have increasing but still limited insight into both customer budgets and ordering plans. And while visibility is improving, we don't have the backlog secured to confidently provide a specific revenue outlook. However, we do want to offer some color on what we are looking to achieve in the market potential we see with the Class I rails for 2022 and beyond. As we highlighted earlier, the potential growth for Ondas Networks with the Class I rails alone is significant, starting with the 900 megahertz network. We estimate the TAM for 900 at several hundred million dollars in size. We expect the ordering activity, which has begun, will ramp over 2022 and even more so in '23 and beyond. At a high level, we expect to receive orders from at least 5 rails in 2022, we expect bookings of $20 million or more with 900 megahertz being the biggest component. In addition, we expect to secure an order from an international customer for the on locomotive product we are developing with Siemens. Bookings and deliveries are critical in ramping the 900 megahertz network in Class 1 orders remains a clear focus for Ondas Networks and as part of our compensation programs. Fortunately, we see scope to continue to execute on an increasingly broadening market opportunity. We expect our relationship with Siemens to grow in 2022 as we expand the product portfolio, we expect to complete the Head of Train or HOT 450 megahertz products for both the Asia and North American market. We also expect to launch a new development program for a track to train radio system for European markets, which we will update you on soon, we hope. Over the course of the year, we'll be updating you on the MC-IoT lab activity. The lab will open the Ondas platform to a broader ecosystem of rail vendors, which will help create further value and accelerate the development of new applications, broadening the use case of Ondas' technology. In addition, we expect the rails to ultimately expand lab activity to other network frequency bands, including the 160 megahertz critical voice or LMR network and look forward to sharing more details later in the year. So to summarize the outlook of what we aim to deliver in 2022, we expect orders to ramp with new customers and with larger deals. Our objective is at least $20 million in orders for Ondas Networks. We believe our relationship with Siemens will expand even more, and the lab will help lock in a bigger opportunity for more rail vendor relationships in 900 and across other frequency bands. I will now hand the presentation to Reese. Reese?
Reese Mozer: Thank you, Eric. Since the merger with Ondas was completed last August, American Robotics has moved quickly to lay the groundwork for long-term growth and success. Firstly, the agenda was expanding our team at all levels. We've accomplished this on target and on schedule, onboarding some of the top talent in our fields. We have ramped up our supply chain and manufacturing capabilities to meet the existing demand of our customer pipeline this year and beyond. We've begun maturing a nationwide operations infrastructure with a focus on safety, reliability and efficiency. And we were acknowledged for these efforts and others through 2 additional patent grants and 5 industry awards. On the sales front, we have secured our first wave of blue chip customers within our target markets. These are Chevron, ConocoPhillips, 2 of the largest oil and gas companies in the world and Stockpile Reports, who serves over 300 customers in the bulk materials industry in 48 countries. Additionally, we had many more customers in our pipeline, and we are excited to share these announcements once the deals are finalized. And finally, through careful analysis and close collaboration with our customers, we believe we have identified clear paths to dominance in each of our target markets, and we have already taken key steps to execute these plans. In oil and gas, we have partnered with and invested in Dynam.AI to build a portfolio of industry-specific analytics capabilities for Chevron, ConocoPhillips and others. In rail, we have entered into a definitive agreement to acquire Ardenna, the leading developer of drone-based rail analytics, with access to the largest database of hard resolution, rail imagery and existence. In both materials and mining, we have partnered with Stockpile Reports to integrate their leading analytics software into the Scout System. Diving deeper into each of these. Our headcount at American Robotics has expanded 450% year-over-year. We've onboarded key personnel and industry-leading talent at all levels of the organization, including VP of Sales, VP of Operations, VP of Engineering, Director of Talent, Director of Product and Director of Flight Operations. We are honored to have some of the brightest and most experienced minds in our industry join us. With training from MIT, Stanford, Carnegie-Mellon and West Point; in backgrounds from GE, iRobot, Amazon Robotics, AeroVironment, MIT Lincoln Labs, Ford, IBM and the U.S. Armed Forces to name a few. This expanded staff allows us to support the significant inbound interest for our product and prepare the organization for expanded commercial sales. It takes the best to build the best, and our swift and consistent success in hiring top talent is a testament to our company's vision, technology and opportunity. Critical to our ability to capitalize on our unique positions in the market is the capabilities to reduce and deliver our hardware and commercial quantities. Over the past year, we have significantly matured our supply chain in manufacturing capabilities by establishing critical relationships and partnerships with vendors and manufacturing partners as well as onboarding internal and contract-based manufacturing support. Our system is currently capable of being produced by our industry-leading contract manufacturing partners and systems from these partners have been delivered and installed at our customer sites. We are currently finalizing orders for 30 or more systems as well as working with our manufacturing partners team and continue optimizing this process with the goal of increased manufacturing speed and decreased bring-up time for each system. We expect to place additional orders as we move through 2022 and look ahead to 2023. This is a multiyear process of continued improvements on the road to producing thousands of these automated drone systems while still maintaining industrial-grade quality standards. The American Robotics customer pipeline is defined almost entirely by inbound interest. Industrial customers in our target markets know the difference between vaporware and real solutions, and it is clear American Robotics has demonstrated the latter through our industry-leading drone-in-a-box platform, in our groundbreaking FAA approval. Within the oil and gas market, American Robotics customer pipeline is currently at capacity and continues growing with many of the world's largest oil and gas producers. Public names currently include Chevron and ConocoPhillips, and we anticipate more announcements in the coming quarters. In coordination with these customers, we have identified the top use cases, each of which can be described as a killer app for this market. Combining that with American Robotics industry-leading autonomy and FAA approval, our confidence level is high that we will be able to execute a path to dominance. As noted in previous updates, we've also partnered with Stockpile Reports, the leading provider of image-based software analytics for the bulk materials and mining industry. Through Stockpile Reports' existing business, American Robotics has access to over 300 customers in 48 countries including some of the nation's largest producers of construction aggregates. We are working closely with Stockpile Reports to prepare both organizations for the deployment of hundreds of Scout Systems. As mentioned previously, we've taken a number of steps to extend and solidify our moats in our target markets. One example of this is our investment in and partnership with Dynam.AI, a leading software developer for complex artificial intelligence and machine learning products. Each industry applicable to the drone market requires industry-specific analytics and Dynam.AI helps accelerate and expand our offerings with Tier 1 talent and technology. Currently, our joint work with Dynam is focused on delivering the capabilities discussed above for the oil and gas market and we see a number of other opportunities to continue to expand our work further. For the rail market, we are very excited to announce a definitive agreement to acquire Ardenna, a leading provider of drone-based rail analytics software. We estimate the total addressable market for drone-in-a-box solutions within the rail market to be $6.85 billion, and we believe the addition of Ardenna will immediately place American Robotics as the leading provider. Ardenna has spent the last 7-plus years researching and developing AI-based analytics specifically for this market and specifically in partnership with the largest Class I rail in North America, BNSF. Through these efforts, Ardenna has amassed over 28,000 miles of rail track images resulting in a massive data lake of over 30 terabytes of high-resolution rail imagery. This data and the AI focused team at Ardenna provide immediate access to this valuable sector. There are over 200,000 miles of track and hundreds of rail yards in North America alone, and we believe this technology has the potential to eliminate 90% of train derailments before they occur. We intend to both integrate Ardenna's rail and spectrum product within the Scout System as well as market this as a standalone SaaS product to others in the industry. Looking ahead to the remainder of 2022. Our focus now is on providing top service to our blue-chip industrial customers. These corporations require and demand high levels of quality, reliability and safety, and we intend to provide that. By year-end, we anticipate 30 Scout Systems installed and operating. At the conclusion of these POCs, we expect to start transitioning to fleet orders with these customers. As a reminder, we are targeting customers that have the capacity for hundreds of thousands of Scout Systems across the United States and the world. We estimate the potential for over 10 million asset sites worldwide to eventually employ automated drone-in-a-box technology on a daily basis. Thus, we believe this is just the beginning. We're going to continue ramping our operations and manufacturing capacity to support this plan, focusing not only on industry-leading technologies, but also industry-leading operations, processes and culture. Our customers demand it, our regulators demand it, and we intend to deliver it. Additionally, since the close of our merger with Ondas, a mere 7 months ago, we have already demonstrated the power and flexibility of the Scout System platform to expand our moat in our target markets through a partnership in the both materials and mining market via stockpile reports an acquisition in the rail market via Ardenna and internal development in the oil and gas market via an investment in Dynam.AI and in the AR team. This is a signal of what's to come and evidence of American Robotics business plan being put into action. I look forward to sharing more updates with all as our investments accelerate into revenue growth and profitability.  And I will now hand it back to Eric for some closing remarks.
Eric Brock: Well, thank you, Reese. As we've outlined in the past, we made the case today, we see a generational opportunity to define scale, lead and create massive value for customers and shareholders by virtue of our market-leading industrial technology platforms. We have the systems, talent and experience and the mandate from customers and our investors to do this. We have a healthy balance sheet to support our ongoing investment in technical solutions and business development. We expect cash OpEx to be about $6.5 million to $7 million in Q1 with modest working capital requirements as we build inventory for expected growth. Over the course of 2022, cash OpEx will trend a bit higher than we expect it to be increasingly offset by revenue and gross profits, particularly as Ondas Networks grows with the rails. In addition to filing our 10-K this morning, we announced public at the market or ATM offering with Oppenheimer. The purpose of the ATM is to provide additional balance sheet flexibility for the company. We believe we may have opportunities to accelerate certain technology investments with Ondas Networks and American Robotics to respond to customer demand. Similarly, the ecosystem around our platforms may offer opportunities for partnerships, JVs or acquisitions. We have recently seen some dislocation in public and private equity markets within our MC-IoT ecosystem. This too could create investment opportunities for Ondas. In short, Ondas intends to stay on offense and pursue opportunities to cement and extend our leadership positions. Let's take a minute to summarize the call and wrap our prepared remarks before we move to Q&A. As we outlined, Ondas Networks is transitioning from investment mode to platform delivery in 2022. The adoption cycle is beginning in that Class I 900 megahertz network. In addition, the Siemens partnership is broadening across new products, additional networks and with new customer segments. Ondas is preparing internally for a ramp-up in sales by building capacity and inventory to support expected demand from Siemens in the Class I rails in 2022. And American Robotics will continue to scale operations in moats in its key target markets, oil and gas, mining and rail as we transition franchise customers to fleet orders. AR will continue to invest in technology, particularly expanding its payload and data analytics capabilities, and we will do this hand-in-hand with our customers.  I'm excited about 2022 and the momentum we have in our businesses. Our team has worked hard. Our shareholders have supported this difficult work, and we firmly believe the fruits of our labor will begin to bloom in very visible ways in the quarters ahead. Operator, I'd like to open the call to Q&A.
Operator: [Operator Instructions] Today's first question comes from Tim Horan of Oppenheimer.
Tim Horan: Just a few questions. One, I think next August, the rails have to vacate some of the spectrum has to be turned over to Anterix. I guess how much of the network needs to be built out by next August to enable that? And how much of the spectrum are they really going to have over or they tend to get sort of like -- kind of get some relief as extended out? And then I have a few follow-ups.
Eric Brock: Sure. Tim, and thanks for the question. So the legacy 900 megahertz network will be retired or is due to be retired in 2 periods. August of 2023 is the first period. There's about half the railroads that have to vacate the spectrum then, and then the other half have to do it over 2025. So the railroads tell us they're confident that they can meet those deadlines. What you see on the rollout with us is between now and 2023, the ATCS migration is happening, right? So we've talked about that, and we've given some outlook on what we think that ramp looks like. And then you're also going to see between now and 2023 and increasingly through 2025, that single-purpose legacy 900 megahertz network turning into a new flexible FullMAX platform. And you're going to see as Stewart outlined new applications in addition to ATCS being built. So we see that build happening over -- into this 2023 deadline for half the railroads and then the rest we have that deadline through August 25.
Tim Horan : Okay. So just to be clear, they need to spend between $100 million and $200 million between now and next August to vacate that spectrum with you guys. That implies a serious ramp-up in bookings revenues at some point. I just want to be clear on it.
Eric Brock : Yes. We do expect a serious ramp as you just called it. And again, it's initially going to be ATCS, building the base station infrastructure, and then building the edge devices for these new applications over the coming years.
Tim Horan : Okay. Great. And then on the drone side, can you give us an update, you've obviously had a lot of interest. I mean what's the total demand for these drones? Is it thousands, hundreds for sitting here 5 years from now? I mean, just any more color on that would be great.
Eric Brock : Yes, sure. I'll ask Reese to take that.
Reese Mozer : Sorry, Tim, can you repeat the question?
Tim Horan : Yes, I apologize. Could you just give us an update on what you think the total demand for the Scout drones is as you look at the market? I mean are we talking thousands, tens of thousands, hundreds? Because I'm just trying to understand how you're thinking about to ramp up the assembly line or the production facilities for these. Are we thinking about building hundreds of these a year, thousands, tens? Just to get a sense of what are you designing your manufacturing facilities for now?
Reese Mozer : Yes. Roughly speaking, if we look far out, we believe that there's over 10 million asset sites around the world that will eventually deploy autonomous drone in the box systems. So I think ultimately, we're talking about millions of these systems, and that's obviously going to be a ramp over time. That's not something that we have the capacity to do today, but that's what our goal is. So I think in the next several years, it's going to be discussions around hundreds and thousands, but again, eventually trending towards tens of thousands and eventually millions.
Tim Horan : So what are you designing the manufacturing facilities to build per year now? Because it seems like still a couple of year process to design and get these facilities manufacturing up and running.
Reese Mozer : Yes. We see the manufacturing as a multiphase process. So the manufacturing partners that we're working with right now have the capacity to do hundreds and probably up to thousands. I think once we get to that point, we'll have to graduate to larger manufacturing partners. Just to clarify, we're not building in-house manufacturing facilities. We work with third-party contract manufacturers and train them how to build these systems. And so there are groups of contract manufacturers that are ideal for certain quantities, low to medium, medium to high and then very high. And so I think we see graduating to various levels of those contractors over time.
Tim Horan : No, I understand that, but it seems like it takes a very long time to ramp these contractors up because isn't manufacturing the gating factor for deploying these at this stage? I mean, it seems like you could sell thousand cities immediately. And I guess I'm just trying to understand how do you bring the whole business model together, you definitely have demand for thousands. So why not set up the manufacturing to basically be able to manufacture 1,000 per year now?
Reese Mozer : Yes. That's a good question. Manufacturing is a factor. It's not the only factor. There are other elements that stop us today from deploying thousands of systems. I mean, simply speaking, even the customers that work with Chevron and ConocoPhillips, although they know that they eventually want thousands of systems, we're talking about very large Fortune 100 companies that have budget cycles that are measured in 6 months to a year. And it's not yet at the point where it's a flip of a switch, and we're going to deploy thousands to Chevron. We need to prove ourselves out on a number of aspects. There are some logistical things that are taking place right now to give some examples on that, cybersecurity audits, safety analysis, we need to be integrated more tightly into their operation systems. People need to be trained on how to use these things. So I think the manufacturing ramp-up goes in parallel to these other activities that have to be scaled as well. So installation, operations, maintenance et cetera, is going to be growing again in parallel to the manufacturing.
Tim Horan : Very helpful. And then lastly, the acquisition today, can you give us any financials, how much revenue was associated with it? And maybe how much stock did you give for the acquisition?
Derek Reisfield : Yes, sure. I'll take that. So the Ardenna purchase was mostly equity. We provide 870,000 shares and $900,000 in cash, a little context for the cost and value. We are spending approximately what they have in invested capital to build this analytics software, suite of software applications. And of course, that took them many years and a lot of sweat equity on top of it. And it comes also with a seasoned customer pipeline and getting back to the cost and value for Ardenna, the BNSF and other railroad partners spend multiples of that -- their cost to build the data lake, which, of course, is a really strong source of value for us. You need the data to build the analytics programs using the AI machine learning technique that are available. So we think this deal is a home run. Not only does it give us great value on a stand-alone basis, monetizing our dentist software packages is very attractive. But it's also, as we integrate it Ardenna capabilities with the Scout System, that's going to really accelerate probably in a meaningful way our ability to service and penetrate in scale in the field with the railroad, which is obviously a very attractive market. So Ardenna has had some revenue with customers. And we're at the point with Ardenna where that will be transitioning to more commercial activity. They've -- their pipeline and the addressable market with them is virtually every railroad that's going to have a drone program. And of course, the interest on drones across the rail sector is growing.
Tim Horan : Sorry, just to be clear, can you give us any revenue color for this year from that acquisition, sorry?
Eric Brock : So Reese, why don't you talk about what we expect for landing customers this year?
Reese Mozer : Yes. So I'll start off first. I think Ardenna is a really fantastic example of our full stack philosophy in this market that you really need a complete end-to-end solution for this to make sense with industrial customers. And so our detainer their Class I rail partners over the last 7 years have spent millions of dollars great. It's really great analytics software, but it needs to be attached to an automated drone system to make sense. So it's a really great deal for both sides that we're excited about. And they've spent in parallel to that R&D development over the past 7 years building up this customer pipeline to include the Class I rails that we all know. They're at a point this year where initial deployments of that SaaS software are possible and likely. So I think we're going to continue with that path for them as well as integrated into the Scout System. And we just -- we closed the acquisition fairly quickly early this -- in the second quarter. And when we get our hands on it and control, we'll be able to share more information about the revenue opportunities.
Operator: And our next question today comes from Mike Latimore at Northland Capital Markets.
Mike Latimore: So Eric, did you say that within the bookings outlook, there's -- you expect orders from 5 Class I railroads. Is that what you said?
Eric Brock : Yes, Yes, we did.
Mike Latimore : And can you talk a little bit about the use cases there? I guess these orders are coming in before the lab work is done. So maybe just what's the opportunity to kind of wash individual orders prior to the lab working?
Eric Brock : I'll ask Stewart to take that and talk about these new applications.
Stewart Kantor : Sure. Thanks, Mike. So there's a number of applications that individual rails have been looking at for quite a long time. And one we mentioned specifically on the call was interlocking. And the interesting thing about that application is it's more of a distributed network versus centralized where we're connecting, if you look at how trains approach crossings and it allows for red light, green light, coordination. And so one of the customers is looking at a wide deployment of interlocking. You have to recall, too, that these networks -- a large portion of the rail networks are focused on a single rail. And then as they interconnect with other rails, that's where the coexistence and interoperability occurs. So we've got a number of applications, interlocking, some bridge drops, a number of things that rails are looking to do in the short term. And then as we mentioned on one of the slides that the focus is moving block applications where you're looking at trains not working in a fixed block where they're waiting for 1 train and stop while another train is moving forward. So if you look at that one slide we discussed, we're looking at moving from fixed block to moving block to eventually autonomous trains. So this is a whole series of applications that have to occur for the rails to achieve that. And they've decided to go ahead and get started on these use cases now.
Mike Latimore : Okay. And then on the bookings. So should we assume that rev rec on those bookings is, I don't know, 6 months after they occur for deployment purposes?
Eric Brock : It's hard to have visibility at the moment on that. I think when we get orders, we should be able to turn them around much more quickly than that. We're getting inventory kind of in production ramping in advance or in anticipation. So I don't think it's 6 months, but I can't tell you with precision sort of when the order hits and when we turn that into deliveries.
Stewart Kantor : Mike, also on the slide, we talked about the launching and there's a lot of processes that go in place. Each rail pursues their own methodology in terms of the design. So it depends on the individual rail too and how they -- whether -- how much prework, so we have to really coordinate one-on-one with the rails as they go through it. But -- that's why we're -- we've mentioned that some rails are doing smaller launch orders. Some are preparing for larger. So we and Siemens are working together on that.
Mike Latimore : And then should we still think about the ARR on the drones is about $50,000 a year. Is that right?
Eric Brock : Reese?
Reese Mozer : Yes. I think for modeling purposes right now that is appropriate, though it may end up being conservative. Hopefully, we'll be able to share more on that later this year.
Mike Latimore : Got it. And as you get more involved with your blue chip customers here, are they asking for, I don't know, additional functionality that require some R&D this year or anything like that?
Eric Brock : Yes, in some circumstances, yes. So in the stockpile market, for example, no, that's a mature analytics package that we have in our partnership with Stockpile Reports with Rail, Ardenna comes with the fairly mature software package. In oil and gas, I think that would be the largest area of R&D. So we've identified a number of high-value use cases, and we'd like to integrate some new payloads and associate that with some analytics for Chevron and ConocoPhillips and others.
Operator: And our next question today comes from William Morrison of National Securities.
William Morrison: Guys, great progress across the board, a bunch of good things happening. I just had a question on some of the rails, Class Is. One of them just came out with a budget, up about 30% year-over-year to about $3.5 billion. And they mentioned that some of that was for -- earmarked for the modernization of their network. So how much would that -- how would that flow down through to Ondas and what will be the components? How much would just be pure infrastructure like towers and other common equipment versus radios?
Eric Brock: Well, thanks for the question, Bill. And as you said, the ability to spend here is substantial. One of the benefits with our technology is the flexibility to operate in all these frequency bands, which means when the railroads are upgrading their networks for more capacity and more flexibility, there's still -- what they're really trying to do is get more utilization out of their existing spectrum assets. So they already have the infrastructure in the field. They have base stations. They even have antennas that are very often we can reuse because we're basically deploying new base stations at the same tower. And then, of course, the edge devices are in the field. They're either going to be essentially connected to the equipment they want to monitor and control or embedded in the examples you're seeing increasingly with Siemens, where our FullMAX technologies inside. So the bulk of the network upgrade is on -- in spending is related to the equipment and solution we're providing. And of course, they'll have to have their own internal budgeted labor as Stewart was referring earlier, most of the heavy lifting will be done by the rails themselves, and they have substantial capacity to do that. They operate essentially many telecom operations.
William Morrison: Okay. So -- that's good. So if most of it is towards radios, other than the order book, they must have some kind of schedule for you to ramp your manufacturing or just to kind of align all your sourcing and everything. I mean what does that look like? Because that -- to me, that looks like a couple of hundred million for 1 rail?
Eric Brock: Yes. I can't speak exactly to that budget you're talking about. But we are preparing for increased volumes as you would expect. And of course, we're spending a lot of time with Siemens and now increasingly the customers on issues like supply chain. And that is a real issue. Of course, that's something that's not unfamiliar to everyone on this call now, but we're trying to do our best to get in front of that. So what that means is the railroads and as we referred to it, we are getting increasing visibility. We will be expecting to get more visibility on their ordering plans and that we'll need to work closely with them in Siemens to make sure the supply chain and our ability to produce and deliver is there. And there's a lot of energy being put into just that.
William Morrison: And what's the early expectations for meeting the right into the occasion on the supply chain in this Siemens supply chain infrastructure help you? Or are you all on your own?
Eric Brock: Siemens is going to be very helpful. Obviously, what they do in their manufacturing process and supply chain teams are big. And they're going to be very motivated and are motivated to help us procure components.
William Morrison: I mean do you see any [fuel stoppers] or any critical parts...
Eric Brock: It's hard to talk specifically. I mean, we do see supply chain tightness and it's -- certainly it can be component-specific at some point. But we've got -- it's here in March, and we're doing the -- we're identifying where those pinch points can be. We're going to try to manage them as well as we can.
Operator: And our next question today comes from Ophir Gottlieb with Capital Market Laboratories.
Ophir Gottlieb: Eric, just a point of clarification and then 2 questions. First of all, it looks like it says expected growth in revenue and gross profits will offset cash burn for 2022 and 2023 for rail. Does that mean rail at least for '22 and '23 is going to be running operating cash flow breakeven?
Eric Brock : I wouldn't say it's breakeven for 2022. I think about it on a quarterly basis as we see the ramp in orders and we start delivering and recognizing revenue and receiving payment. And by the way, we do think the payment terms will be favorable. We get to what I described on a quarterly basis, at modest levels of revenue, we become self-funding at Ondas Networks and profitable. So you've heard us in the past talk about our OpEx. We're today guiding the first quarter around $6.5 million or so in cash OpEx. A little less than half of that is on Ondas Networks. The rest is AR and of course, we have holding company expenses. So given our margin profile of 50% or greater on the platform sale, this does not include the recurring software and system maintenance revenue. But just given the margin profile, on our -- on the system sales for Ondas Networks, you're at $7 million or $8 million of quarterly revenue. And you're cash flow positive on an operating basis. So that's the way I think about it. And we'll see how we can ramp orders and turn that into cash receipts as we move through the year. But I think 2023 should be Ondas Networks based on what we understand and believe the growth to be, we should be self-funding Ondas Networks by 2023.
Ophir Gottlieb : Okay. So you don't necessarily have to tug on that [$50 million] ATM?
Eric Brock : Exactly. Yes. This -- as we described in the call, this is all about balance sheet flexibility and optionality as Reese also referred to, and this could be the case as well as for Ondas. The customers are looking for us to innovate and actually provide solutions and if we've got the right mousetrap, given the ROI on what we do, they might ask us to move faster, and we want to be ready to do it.
Ophir Gottlieb: Okay. So you'd move on the ATM if there were revenue opportunities to accelerate, but not for -- just for funding the entity since rail, it sounds like it's going to be self-funding. Is that a good way to put it?
Eric Brock : Exactly. That's our expectation.
Ophir Gottlieb : All right. So I have 2 questions. So another Ondas has secured 2 Class I rails that sounds like a third is coming shortly. And I think there was a guidance to have 5 by year-end. And since there's a transition for Class I rails to come off of legacy networks and enterprises don't go backwards once they come off of a legacy network. What does this look like in, say, 2024? I know that you've given the total addressable markets, but let me ask you this way. Is this a $300 million to $800 million of potential revenue available through 2024 and '25? Or how should I look at that? And then I have 1 follow-up on American Robotics.
Eric Brock : No. I think the focus of the build-out for the railroads over the next several years, we'll be on that new 900 megahertz network. And all in, when including the deployment of crossings at high rails, high rails are maintenance vehicles that run along the track, at the wave sides for applications that Stewart was describing earlier, that's several hundred million dollars. And then, of course, there's the other networks, 450 where we're already building a product. That's the on locomotive radio systems for HOT and EOT, you'll start to see that kind of play out probably starting in 2023, expect Siemens to have orders for upgrading HOT. So it's kind of going to be a sequence, but the vast bulk of the focus in the spend will be on that 900 network with the rails, of 450 and 160 sort of come in kind of behind. And I would ask you to watch what we're doing on the development side there. Obviously, again, 450 we started a product with Siemens. And we do -- we've talked about this in the past, we do think 160 is the place the rails will be active with some development work kind of in the coming quarters, we'll call it.
Ophir Gottlieb: Okay. It sounds like 2024 of things go according to plan should deliver at least $100 million in the rail revenue. And American Robotics sounds quite on track to hit its $30 million to $60 million in annual recurring revenue. That's how I read it. Does that sound reasonable?
Eric Brock : I think those numbers are in the ballpark.
Ophir Gottlieb: Okay. All right. So I have a question on American Robotics. As you know, I spoke with 1 of your major oil and gas customers. And I understood from them that the time to fleet order is actually a lot faster than I thought it was, let's say, 1,000 to 2,000 drones could actually happen in 9 to 12 months from the first deployment of the payer, the sort of the testing payer. And that's, of course, assuming Scout can deliver what they hope it can. There's no guarantees. But these companies can scale, let's say, within a year. It occurred to me, it seems like if 1 of these mega caps is going to get into the final step function with American Robotics for a fleet order, they know that it would be a company defining moment for Ondas. And it seems to me that they would take some sort of stake in the firm, not just to benefit from their own CapEx, right, but also logistically to essentially guarantee that the manufacturing of drones goes to the front of the line. If you get a order, then they're going to want all 2,000 drones. Is that a reasonable way to think about the relationship between American Robotics and fleet orders? Or are these conversations happening either internally or externally that potential Fortune 100 company that has tested and moves into the step function may actually take a stake in the company. I don't know what you can say about that.
Eric Brock: Well, I can't talk specifically to that. But I think broadly, what you're discussing is true. These companies, when they -- if there's mission-critical technologies, they're going to make a big investment in particularly if it's an emerging technology with a company like Ondas, there's going to be partnership. And what that means in terms of financial arrangements, I guess we'll have to see. But we do think there's scope for partnerships. And at the same time, we think we control our own destiny. We're well capitalized and will continue to be. And we've built -- we've got a very deliberate strategy to build the team and the infrastructure to service these companies. And there's all sorts of relationships we can have to buttress that. So we'll have to see what happens. So we're obviously excited to do the work and deliver and things will take care of themselves.
Reese Mozer: Yes, we're approaching these conversations with companies like Chevron and ConocoPhillips very much from a partnership perspective. This isn't at the point where -- it's pure sales, and we're just trying to pump as many units to them. We know that this is a long-term relationship and that assuming we succeed in integrating thousands of drone systems, we become a very important part of their infrastructure that's critical to their day-to-day operations and the safety of their assets, et cetera. And so I think both sides recognize that, and we're working closely with them on a weekly basis to really establish that kind of partnership mindset. So I think all sorts of things come out of that, and we're leaving the door open for all sorts of conversations again beyond just a pure kind of sales relationship.
Ophir Gottlieb : Okay. And Reese, I saw the guidance for American Robotics, I was in the presentation in September of last year, sort of this methodical move forward. But given that American Robotics continues to add these Fortune 100s, which they really do have the scale for 1,000 or 2,000 actually might be more, that could accelerate that guidance that was given, but does American Robotics -- I know it's contract manufacturing. Does American Robotics have the ability of, I don't know, December 31, 2022, fill in the blank, mega cap oil and gas says, yes, we actually will take 1,000 to 2,000 Scouts, even though I know that's ahead of the schedule that you planned, which would be great news, but could that be delivered with your current manufacturing? It sounds like it could be, but it would be at the end of essentially the top end of what you can do?
Reese Mozer: I mean it's theoretical. I think when -- I love the gentleman's enthusiasm with Chevron. But I think -- I don't even think on their end that they would install that many systems all at once. I interpret an order of 1,000 or 2,000 drone systems as being attached to a rollout strategy over, say, the following year. Each 1 of those sites needs to be determined, there's power requirements, you need to build a cement pad for each thing. You need to ensure that you have data connectivity, which can vary between site, and each thing has to be set up with flight plan, boundaries, et cetera. So there's -- regardless of its American Robotics or any other company, there's just some steps that have to occur that I think stretch that over time a little bit, which is fine. So yes, but it would be, again, I think, a ramp-up that's scaled out over the following year.
Ophir Gottlieb: Yes. They wouldn't expect 1,000 drones or the next day. And just to close the loop, is each of these Scouts still forecast to have a payback period of less than a year and a free cash flow margin of a little over 70% of that still as you're scaling on this, it's about how you -- is that how you see the sort of things are still as presented?
Reese Mozer: Yes. Generally, yes. And certainly, when we get to quantities like that, supply chain constraints of raise component prices a little bit. So we're right on the border of that right now in low quantities. But yes, certainly when you get to 100,000, absolutely.
Operator: And ladies and gentlemen, this concludes our question-and-answer session. I'd like to turn the conference back over to the management team for any final remarks.
Eric Brock: Okay. Well, thanks for attending the call. We're looking forward to this year as we outlined today, we're very excited. We've got some momentum, and we'll be in touch. We're going to keep you posted on business development as we move through this quarter, and we'll talk soon. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you all for attending today's presentation. You may now disconnect your lines, and have a wonderful day.